Operator: Good morning, ladies and gentlemen. Welcome to Masco Corporation's Third Quarter 2013 Conference Call. My name is Tiffany, and I will be your conference operator for today's call. As a reminder, today's conference is being recorded for replay purposes. [Operator Instructions] I will now turn the call over to Vice President of Investor Relations, Maria Duey. Maria, you may begin.
Maria Duey: Thank you, Tiffany, and good morning to everyone. Welcome to Masco Corporation's Third Quarter 2013 Earnings Conference Call. Joining me on our call today are Tim Wadhams, President and CEO of Masco; and John Sznewajs, Masco's Vice President, Treasurer and Chief Financial Officer. Our third quarter earnings release and the presentation slides that we will refer to during the call are available on the Investor Relations portion on our website. Following our prepared remarks, the call will be open for analyst questions. [Operator Instructions] If we are unable to take your question during the call, please feel free to call me directly at (313) 792-5500. I'd like to remind you that statements in today's presentation will include our views about Masco's future performance, which constitute forward-looking statements. These statements are subject to risks and uncertainties that could cause our actual results to differ materially from the forward-looking statements. We have described these risks and uncertainties in our Risk Factors and Other Disclosures in our Form 10-K and our Form 10-Qs that we filed with the Securities and Exchange Commission. Today's presentation also includes non-GAAP financial measures. We've provided a reconciliation of these adjusted measurements to GAAP on our website at www.masco.com. With that, I'll now turn the call over to our President and Chief Executive Officer, Tim Wadhams. Tim?
Timothy Wadhams: Thank you, Maria, and thank all of you for joining us today for Masco's Third Quarter 2013 Earnings Call. And if you would please move to Slide #4. As we have for the last several quarters, Masco's third quarter results showed strong revenue growth and margin expansion compared to the prior year quarter. We continue to execute on the strategic initiatives we laid out at the beginning of the year. As a result, this is the first time since the third quarter of 2007 that we have delivered double-digit operating margins. That outcome was driven by a double-digit increase in top line sales and strong operating leverage. We're very pleased with these results. Our leadership position in the building products industry and our focused execution against the housing recovery benefited all of our segments this quarter, with all 5 of our operating segments contributing to our top line growth. In North America, we continue to benefit from increased new home construction activity and improving trends in remodel activity, where we are starting to see an increase in bigger ticket-related items. In addition, the investments we have made to new products and programs have strengthened our business, particularly benefiting our paint and Plumbing business. We are seeing the benefit of our strict focus on cost containment, as well as our ongoing commitment to total cost productivity, as evidenced by our incremental margins. Importantly, our Installation and Cabinetry segments grew both top and bottom line in the quarter, reflecting our strong leverage to a housing recovery and significant improvement compared to last year. Our international sales and profits continue to increase, reflecting the slowly improving economic environment in the Eurozone and a solid performance by our international Plumbing and window businesses. And if you would please turn to Slide #5. As we've communicated in the past, our strategy is focused on 4 key elements to drive performance. Our commitment and investment to expand our market leadership positions was recognized by one of our major partners, The Home Depot, in its recent Supplier Partnership Meeting. Both Delta and Behr were awarded The Home Depot Partner of the Year award in their respective categories. Both Delta and Behr were also recognized for The Home Depot's top 10 innovations of the year, reflecting the emphasis we place on innovation in Masco. In addition, unrelated, Delta was awarded the EPA WaterSense Partner of the Year. We're extremely proud of Behr and Delta, and congratulate both teams on their recent wins, and thank them for their hard work and dedication. Our company-wide emphasis on cost control as sales increase is demonstrated by our improvement in gross margins, SG&A leverage and our operating margins. John will discuss that in a couple of minutes, but we're very pleased with that outcome. Our Installation segment is capitalizing on improved market dynamics and drove sales in all channels of the business. By remaining focused on profitability, they continued their trend of improving their operating profit. North American Cabinetry is outperforming the new home construction market, and is benefiting from positive trends and remodeling. We had strong growth in the quarter, reflecting the stabilization of the business. The team continues to execute on their strategic plan, positioning the business for future profitable growth. Combined, these 2 segments, Cabinets and Installation, improved by $41 million of operating profit, compared to the third quarter of 2012. In addition, we remain committed to strengthening our balance sheet and continue to improve our working capital management. In addition, in August, we retired a $200 million debt maturity with cash on hand. These strategic highlights demonstrate our continued focus on execution which produced another strong quarterly performance. And if you would please move to Slide #6, John Sznewajs, our CFO, will take you through our operating segments from a financial and operational perspective.
John G. Sznewajs: Thank you, Tim, and good morning, everyone. If you would please turn to Slide 7. You can see, due to the improving fundamentals of our business, our momentum accelerated coming out of the second quarter and we delivered another quarter with double-digit sales growth and operating margin expansion. In fact, this was our eighth consecutive quarter of year-over-year sales growth and adjusted operating margin expansion. Sales increased 12%, with North American sales up 13% and international sales up 5% in local currency for the quarter. Currency had an approximate $13 million positive impact in the quarter. And while we experienced strong growth in all channels, volume increases were strongest in our direct-to-builder channel. We did a great job of leveraging our cost in the quarter, as adjusted gross margins expanded 120 basis points to 28.5%. The strength of our bottom line performance and our commitment to cost control were evident in the quarter as our SG&A, as a percent of sales, declined to 18.2%, a 140-basis-point improvement, a terrific outcome in one of our best performances on that metric in many years. As a result, adjusted operating income increased 50% to $222 million, with adjusted operating margins expanding 260 basis points to 10.3%. As Tim mentioned, our first double-digit operating margin in 6 years. We realized good operating leverage as we delivered 31% incremental margins in the quarter. And our adjusted EPS nearly doubled in the quarter to $0.27 from $0.14 1 year ago. Turning to Slide 8, we see the components of our operating income improvement in the third quarter. The $59 million increase in net volume/mix was driven by solid volume increases in every segment. This growth was partially offset by a mix in both our Cabinet business, with strong sales growth to production builders; and in our Decorative Architectural segment, with their successful new programs and expansion into international markets. Net price/commodity improved approximately $15 million in the quarter, largely driven by our Cabinets, European Plumbing, Installation and U.S. windows businesses, partially offset by an unfavorable price/commodity relationship in our paint business. This also reflects the year-over-year impact of our metals hedge, which was $1 million favorable in the quarter. We captured $42 million of profit improvements, gross in the quarter, and believe we are on track to realize our full year profit improvement initiatives, gross of $160 million, up $10 million from our prior estimate of $150 million. If we turn to Slide 9, you can see we delivered solid performance in our Plumbing segment and sales increased 11% in the quarter. The strong sales momentum of our North American faucet and toilet businesses, which include our leading brands, Delta, Peerless and Brizo, continued in the third quarter. Consumer demand for our innovative new products drove a mid-teens percentage sales growth in the quarter as we experienced good growth in retail and strong balanced growth in the trade channel, reflecting our continued investments in the showroom, commercial and multifamily segments of this channel. We are up against a difficult comparison in the quarter, as Q3 2012 benefited from approximately $12 million of load-in related to our retail program wins in the second half of last year. And as a reminder, we will face a similar headwind of $12 million in the fourth quarter. We also experienced mid-single-digit growth from several of our other North American businesses, such as spas in our up [ph] Plumbing business. And following an improved second quarter, our European sales momentum continued, with sales increasing mid-single digits in local currency, led by Hansgrohe. Partially offsetting this growth was the exit of the unprofitable channel bathing business, and lost retail bathing programs. These actions negatively impacted sales by approximately $12 million in the quarter, and will total approximately $50 million for 2013. Year-over-year operating profit increased $43 million, driven by incremental volume, especially in the trade channel; a favorable price/commodity relationship, particularly in Europe; favorable currency and productivity and cost control measures. Recall -- you may recall that 2012's Q3 operating profit was negatively impacted by $10 million due to increased program costs and currency. Turning to Slide 10, you can see our Decorative Architectural segment enjoyed good growth as new product introductions, such as BEHR MARQUEE and BEHR DECKOVER, which continued to perform well, increased Pro sales in international sales growth to over 9% revenue increase in the quarter. As a result, we realized low-teens percentage gallon growth in the quarter. Liberty Hardware also continues to contribute to both the top and bottom lines of the segment, as a result of share gains and several new programs in retail. Our efforts to drive gallon growth included $10 million of incremental investment in advertising and promotional expenses, which, when coupled with an unfavorable price/commodity relationship, caused our operating margin to decline in the quarter. If you turn to Slide 11, you can see that our sustained focus on profitable growth in the Cabinet segment resulted in improved performance as we posted a double-digit sales gain in the quarter and an adjusted operating profit for the second quarter in a row. The environment for Cabinetry is improving, as we experienced ongoing strengths with our builder accounts, and accelerating demand from our remodel customers. All 3 brands are benefiting from these improved market conditions. These trends led to segment sales increasing 15% in the quarter. North American Cabinet sales, excluding countertops, increased 20% in the quarter, reflecting strong direct-to-builder sales growth and improvement in the dealer and home center channels. We maintained our profitability in North America by improving our adjusted operating results in the quarter by $21 million, reflecting a 62% incremental margin. This improvement was driven by increased volume, cost control, productivity improvements and lower promotional spending. This was partially offset by higher input costs and negative mix due to increased sales to production builders. The turnaround plan in North America continues to be on track, and we are profitable in this segment sooner than we anticipated, as a result of our focus on cost containment, improving demand and actions taken late in 2012. After preparing one of our existing facility -- our existing facilities to absorb additional volume, we announced the closure of a component plant in the quarter, then, it was identified as part of our late 2012 footprint consolidation plan. Turning to Slide 12. Our Installation segment saw a sales growth of 19%, which was driven by a 28% increase in residential new construction sales, and to a lesser degree, by higher sales volumes in our commercial, retrofit and distribution channels. We experienced strong growth at all builders, but particularly, the big builders. In addition to solid top line performance, management's strong execution delivered significantly improved bottom line results, with adjusted operating profit improving by $20 million and adjusted operating margins expanding by 540 basis points. This strong execution was complemented by the continued implementation of a leaner operating model which is allowing for efficiencies and facilitating growth in new geographies. We anticipate that we'll have opened 15 new locations by year end, and expect further greenfield growth in 2014. This segment exhibited strong operating leverage in the quarter, delivering 35% incremental margins despite the impact of rising raw material and labor costs. Turning to Slide 13. Our Other Specialty Products segment saw sales increase 13% in the quarter, yielding another strong quarter driven by our North American window sales increase of mid-teens percent. This growth was due to higher sales in both the new home construction channel and replacement window markets. As Europe shows initial signs of economic stability, our U.K.-based window business produced positive volume increases in the low-teens percent, driven by continued growth in trade and retail channels and the success of our small composite door acquisition earlier this year. The segment's adjusted operating profits were flat in the quarter compared to the third quarter of 2012, despite increased sales. This is primarily due to the negative mix and several miscellaneous costs, including the initial costs of implementing a new ERP system at our Milgard window business. Our estimate, at this time, is that the ERP implementation costs will be approximately $2 million to $3 million in each of the next several years. And then, turning to Slide 14. You can see, as Tim mentioned earlier, that we retired $200 million of debt with our August maturity; and that our working capital, as a percent of sales, increased -- or improved significantly, down to 12.1% in the quarter compared to 14.8% in the third quarter of last year. Also, at the table at the bottom of this chart, you can see that our liquidity, both our cash and cash investments and our short-term bank deposits aggregate $1.3 billion. I should point out that since the -- since January 2012, we have reduced total debt by $600 million, while our total liquidity has improved by about $200 million. With that, I'll turn the call back over to Tim and his thoughts on our outlook.
Timothy Wadhams: Thank you, John. And if you would please move to Slide #16. Our success in the third quarter reflects our commitment to executing on the priorities we identified at the beginning of the year. Our Installation and Cabinet businesses are continuing to deliver results from their focused execution against improving market dynamics. The previous actions that they have taken to improve their business will continue to deliver benefits going forward. And as John just mentioned, we reduced our debt in August and do not have any maturities in 2014. Our commitment to innovation, new products and programs and strategic growth initiatives is producing results and augmenting market growth, as indicated by our third quarter performance. We continue to manage cost aggressively and are on target to achieve approximately $160 million of profit improvements for the year. We're very encouraged by our third quarter performance and continued progress against our priorities, and we want to thank all of our employees worldwide for their ongoing effort to drive Masco's performance. And if you would please move to Slide #17. Just a couple of quick comments before we go to Q&A. The underlying fundamentals of our business remains strong, as evidenced by another quarter of sales growth and margin expansion. We expect that the positive trends in new home construction and home improvement in North America will continue. Having said that, we recognize that there are macroeconomic factors that will challenge us going forward, including the velocity of the U.S. recovery and global economic uncertainty. Despite these macroeconomic factors, we are positioned to continue profitable growth and value creation for our shareholders. Our size, scale and strong liquidity allow us to rapidly respond to increased demand in new home construction. Our focus on strengthening our brands through consumer-driven innovative solutions for our customers and consumers is driving share gains in the repair/remodel channel, furthering our strategic relationships with key customers. And our emphasis on cost control and process improvement enables us to convert increased volume with strong operating leverage to improve margins and returns. We feel very good about our year-to-date results, and are particularly pleased with our third quarter performance. We will push to close the year with a strong fourth quarter and are off to a solid start, with October sales looking to be up high-single digits percent. We're excited about the future and believe that Masco is positioned for improved operating performance in 2014 and beyond. And with that, Tiffany, we'll open up the lines for Q&A.
Operator: [Operator Instructions] Your first question comes from the line of Dennis McGill with Zelman & Associates.
Dennis McGill - Zelman & Associates, LLC: First one, you noted within Decorative Architectural on the gallon side, low-teens percentage growth there. But there is, as you noted, new products, some load-ins on some business that you've won. Can you maybe separate what you think is sort of apples-to-apples growth versus some of the market share or new product growth that's embedded in that low-teens percentage?
Timothy Wadhams: In terms of the gallon share increase, Dennis?
Dennis McGill - Zelman & Associates, LLC: Yes. In other words, I guess, what if same-store gallons go up and then, what would the new product introductions and/or market share...
Timothy Wadhams: Don't have that level of detail, but the new products, particularly the DECKOVER products, had a very strong quarter for us. But as we've indicated, gallon growth has been an area of focus for both us and The Home Depot. And certainly, felt good about that outcome in the quarter. And I did see growth in other areas of the business, but the new products drove a lot of that.
Dennis McGill - Zelman & Associates, LLC: So is that a load-in effect or is that the success...
Timothy Wadhams: No, I wouldn't call it a load-in effect, Dennis. We've got most of that product in, in the second quarter, as I recall. I think most of that was done -- in fact, I'm sure that it was done in the second quarter. So that was all incremental.
Dennis McGill - Zelman & Associates, LLC: Okay. Second one would be just within the Cabinets business. There are several moving parts, it seems, from the pricing standpoint, with price announcements being announced across the industry. And then, you also have the Chinese plywood dynamic on the raw materials side. So can you just maybe talk more broadly about the moving parts between price, raw materials and then, promotional activity?
John G. Sznewajs: Sure, Dennis. It's John. There's a couple of things that, to your point, that -- to impact the segment. So in terms of promotional activity, we have seen promotional activity down pretty significantly compared to this time last year. In terms of raw material pricing, we have seen some of the input costs go up during the course of 2013, and we did implement price earlier in the year to offset some of those costs. But to your point, the Chinese tariff that was announced in the third quarter did impact us by about $2 million negatively in the quarter. And we have announced price increases to offset some of those -- that action specifically, later in the fourth quarter.
Dennis McGill - Zelman & Associates, LLC: And just a quick follow-up on that. Are you seeing competitors match or announce similar price increases?
John G. Sznewajs: We've not seen -- I don't follow all of our competitors, but there has been -- we have heard of other pricing actions taking place.
Operator: Your next question comes from the line of Robert Wetenhall with RBC Capital Markets.
Desi DiPierro - RBC Capital Markets, LLC, Research Division: This is Desi filling in for Bob. When looking at the paint segment, I wanted to see if you can provide some color on the long-term strategy for that business. You mentioned, it's a few quarters now, that you want to drive gallon growth. So with sales up 8.5% but profit declining by $3 million, I want to see if you could think about the trajectory for promotional spending and profit growth of the business?
Timothy Wadhams: Well, we certainly have indicated in the past, Desi, the desire to want to grow gallons. And we did indicate earlier this year that we anticipate that there could be some investment that would help us drag that. So from a longer term strategy standpoint, that's certainly where we expect to be going forward. As we've indicated, we're willing to invest behind that. We did have about $10 million of additional advertising and promotion in the quarter. And that, obviously, had an impact on the margin. But I think if you'd look at the margin on a year-to-date basis, I think we're slightly above last year, maybe 50 basis points above last year, at 18%-plus. And certainly would, as we think about growth going forward, whether that's with the Pro, whether it's part of the international strategy, as we've indicated in the past, we expect that to have a very high return, but potentially some negative impact on margins. And we've also said that we still expect those returns on sales to be very strong. So that's been consistent and that's really the way we see that developing going forward.
Desi DiPierro - RBC Capital Markets, LLC, Research Division: Yes. And then, in the Cabinets segment. You rolled out some new products in the quarter and getting greater traction with the customers, particularly, the dealer channel. Can you talk about the success of those new products so far?
John G. Sznewajs: Right, Desi. So project benefit. We did launch some new products under the Merillat brand earlier in the third quarter. And I would tell you that since that was launched -- it was really in September, it's tough to tell what kind of traction those are getting, since they're just hitting the dealer showrooms at this point. I think we can probably give you a better update in 2014, when we've had more experience with those products.
Operator: Your next question comes from the line of David Goldberg with UBS.
Susan Maklari - UBS Investment Bank, Research Division: It's actually Susan for David. You guys noted that you're definitely seeing some improvement in the repair/remodel side of things, can you just give us a little more detail on maybe what exactly you're seeing there and what's driving that? Are you having to increase promotions or incentives in any way? And is it that -- you noted it's at a slightly higher price point, and maybe just what you think is sort of encouraging about them?
Timothy Wadhams: Yes, what's encouraging there, Susan, is some increases we saw. We've seen -- we mentioned on the second quarter call that we start to see some trends in terms of pickup that's related to both windows and Cabinets. And I think that as we think about price points, our KraftMaid brand, which is semi-custom, was up low double digits in the quarter. And we also experienced sales in the dealer channel up low double digits. And I think that those 2 facts, from our perspective, certainly, would tend to reinforce and certainly indicate that we're seeing a little bit of movement from a price point standpoint, as well as additional activity in the dealer channel. Both of those would tend to point towards more activity from a remodel standpoint.
Susan Maklari - UBS Investment Bank, Research Division: Okay. And then, even as we get into sort of a seasonally slower period in the fourth quarter, do you think that you'll somewhat buck those trends, given that we're sort of in the early days of this and that it's just starting to come back?
Timothy Wadhams: The fourth quarter is seasonally -- usually, a little bit slower. And remodel activity in the fourth quarter, because of the holidays and the time of year, tends to be a little bit lower. Having said that, I don't see anything, as we look out, that would suggest that remodel isn't going to be relatively strong going into the season next year, if you will. And so we're certainly optimistic as we look ahead.
Operator: Your next question comes from the line of Philip Ng with Jefferies.
Philip Ng - Jefferies LLC, Research Division: You mentioned October sales were up high-single digits. Is that kind of an indication that demand -- the velocity of the recovery is decelerating a little bit or just too early to call?
Timothy Wadhams: No, I wouldn't say that at all, Phil. In fact, if you recall, last year's October, for us, was up mid-teens. So we had a very, very strong October last year. And we're up high-single digits against that -- or we appear to be. Obviously, we've got a couple more days left in the month, but we look to be up high-single digits. So no, I wouldn't say that by any means.
Philip Ng - Jefferies LLC, Research Division: Got you. And then, on the mix dynamic in your Cabinets business -- I appreciate that you're gaining share on the builders side which, I guess, is a negative mix. But on the flip side, you're seeing a pickup in R&R and the new dealer side. Should that mix dynamic turn positive going forward or how should we be thinking about that dynamic?
Timothy Wadhams: Well, I think, over time, we typically tend to be about 60% R&R, 40% new home in a more normal kind of environment. Obviously, we're not in a normal environment at this point in time. But I would expect that we would see our sales, at least, tilt towards more repair/remodel activity as time goes on.
Philip Ng - Jefferies LLC, Research Division: Okay. And just one last question on the paint business. During the quarter, you guys obviously made some investments on promotions for the rollout of some of your new products. That $10 million headwind, should that reverse going into Q4 or should it stay at an elevated level in the short term?
Timothy Wadhams: I wouldn't expect it to be at the $10 million in the fourth quarter. But there could be some incremental promotional-related expense.
Operator: Your next question comes from the line of Michael Rehaut with JPMorgan.
Michael Jason Rehaut - JP Morgan Chase & Co, Research Division: First question on the Cabinets, you had, really, a great acceleration of year-over-year top line growth there, and you mentioned that it was across all channels. But I was wondering to get a little bit more granularity, if possible, in terms of the builder, dealer and retail, which -- if you could kind of walk through the magnitude of growth for each and give us any sense of margin impact? It appears that the negative mix by the builder channel maybe had a little bit of a suppressing effect. But which channel is kind of the most profitable? And understanding that right now, I guess, you're still building out your dealer channel as well.
John G. Sznewajs: Mike, it's John. In terms of growth rates by the various channels which, you would expect, did take place in the quarter. So our direct-to-builder was up a little bit better than lagged -- 90-day lag to housing starts. So up high 20s, low 30s percentage. As Tim mentioned, the dealer channel was up double digits percent, as was the home center channels, in addition. So good strength in the cost -- the remodel channels, as Tim kind of alluded to earlier. We really haven't broken down our margin profitability by segment at all, or by channel, I should say. Though, I would point out to you that our KraftMaid product offering, which has a greater opportunity to be upgraded due to additional features and design elements, probably does carry a little bit stronger margin profile than our direct-to-builder offering.
Michael Jason Rehaut - JP Morgan Chase & Co, Research Division: Great. And just going back to the Decorative Architectural, I know there's been a bunch of questions there. But just trying to understand, I think we've talked about this on previous calls in terms of the longer-term margin profile of the business. Historically, it's been plus or minus around 20%. And now you've had a couple of quarters of promotional spend. I remember back in -- a few years ago, where there was 3- or 4-quarter kind of major upgrade, I believe, in Home Depot, where you were putting in a lot of displays. I think they were even computerized, and there was a big investment there and that really did yield a lot of, I would say, longer-term benefit in terms of the relationship. This sound -- it feels a little bit different this quarter and last, where -- what I'm trying to get a sense of is, is the promotional spend here more of just a shorter term, perhaps, even just cost of doing business with Home Depot, where you're trying to drive volume and take advantage of the season? Or are there longer-term benefits in terms of the volume growth that you saw in the last couple of quarters, going back a few years ago when you put in the displays, et cetera, there was more of a longer-term impact there? It feels like this is more of a shorter term seasonal impact, and maybe you could tell me if I'm on to that or is that accurate or fair or how to think about that?
Timothy Wadhams: Yes, I would say that's somewhat inaccurate, Mike. Well, you're right about the timing of the color centers, that was 2003 that we put those in. And those have been upgraded since then. And that was a long-term investment by us. But everything we do basically, is, in large part, driven for the longer term. The penetration of the Pro, for example, that we've worked on over the course of the last couple of 3 or 4 years is certainly longer-term opportunity for us. The move into international. We picked up the Mexican business from Home Depot earlier this year. We talked about that. Those are both efforts that are really driven on the longer haul. As we continue to innovate and bring out products, that cycle continues over time and has been evidenced by our Paint & Primer in One, along with the DECKOVER product, the MARQUEE product. So we continue to be longer-term-focused in that segment. And certainly, we'll continue to look at it that way. We think we've got great opportunity with the Pro. We think we've got opportunities from an international perspective. So from that standpoint, certainly, believe that there's a lot of upside for us over the longer term.
Michael Jason Rehaut - JP Morgan Chase & Co, Research Division: So just -- I appreciate that, Tim, and I guess, just following that, in terms of the increased advertising and promotions, how does that fit into -- do those increased advertising and promotions fit into those Pro and Mexico initiatives or are they there to support some of your more new recent products or how does -- or...
Timothy Wadhams: Actually, all of the above, Mike. And basically, when we're promoting or when Home Depot is promoting, generally speaking, that is to attract people to different opportunities. But we've got a variety of products that, that applies to. So I think, generally speaking, that's pretty much across the board.
Operator: Your next question comes from the line of Garik Shmois with Longbow Research.
Garik S. Shmois - Longbow Research LLC: Question on the Installation division. If the pace of the housing recovery slows, how is that going to impact how you view the business over the next 12 months? Can you -- you mentioned branch openings being planned for next year. Can you flex that up or down, depending on the pace of the housing recovery?
Timothy Wadhams: Yes, absolutely, we can flex that. And it really does not have any bearing if there's a little pause here. Obviously, there was an interest rate spike and a little bit of reaction to that a couple, 3 months ago, but from our perspective, that is a pause or could be a pause. We have not seen any impact on our business necessarily, because of the 90- to 120-day lag. But as we look ahead, we are very confident, very comfortable that we ought to continue to see growth on the new home side. Our sense is 150,000, 200,000 starts a year for the next couple, 3 years on the upside. So I wouldn't necessarily see anything that might transpire here as anything other than temporary.
Garik S. Shmois - Longbow Research LLC: Okay. And then, you mentioned $2 million to $3 million in costs for the ERP implementation in windows. Was most of that in the third quarter? I'm just trying to figure out what the impact was recently?
Timothy Wadhams: Yes, it was a little bit more than half that in the third quarter. There'll be some more expense in the fourth quarter this year. And then, Garik, going forward, for the next couple of years, it'll be $2 million to $3 million each year. And we'll try to give you a sense as to in which quarter that will fall out as we incur the cost.
Operator: Your next question comes from the line of Mike Wood with Macquarie.
Unknown Analyst: [indiscernible] in for Mike. Just a quick question on Hansgrohe. How much does that still drag in terms of the impact from the new market expansion on Plumbing margins?
Timothy Wadhams: There's very little mix impact from that particular business at this point in time. We do have a little bit of a mix related to some of the new products, the source-and-sell toilet that we have mentioned previously, which has a little bit lower margin. But obviously, a nice return.
Unknown Analyst: Okay. And then just kind of a little higher level, I mean, in the past, you've talked about 13% Plumbing margins, mid-cycle. And you're past that in this quarter. It seems like mix is improving in Hansgrohe. Is there an update you can we give us, maybe, as mix normalizes?
Timothy Wadhams: No, I don't think I would necessarily back away from what we've said. Obviously, we had a very, very good quarter in Plumbing, and we're really proud of that. No question about it. All of our teams did a nice job there. If you look at it year-to-date, we're at about 13.5%, I think, on a year-to-date basis. So I think that guidance for your modeling, going forward, is probably in the right spot. I mean, obviously, we'll work hard to do better than that. But I think that 13-ish is probably pretty -- a pretty good number to use.
Operator: Your next question comes from the line of George Staphos with Bank of America Merrill Lynch.
George L. Staphos - BofA Merrill Lynch, Research Division: My first question is on Cabinets. Obviously, you've seen a nice rebound in profitability, given the low stepping-off point. You've done a lot of work to restructure the business. From here on out, what are the 2 most important initiatives for you to further improve your margin and profitability in this segment? Or is it really now just you like where you're at, you like your product portfolio and your cost position, you're just waiting on the volume improvement from here? Then, I had a follow-on.
John G. Sznewajs: Now, George, I think as we look at our Cabinet business, I think there's a couple of things that we are focused on here. One is, continue to drive innovation, and that's reflected in the product launches that we have under that Merillat brand that are coming onto market, really starting in the third quarter. That will continue all the way into the first quarter of 2014. And then, some differentiated product based on our dealer channel also looking to improve the customer experience across the organization, as part of our Cabinet offering. So those are critical items. And then on top of that, as you would imagine, always focused on our cost position and trying to get our productivity and efficiencies up. So -- and that's evidenced by the fact that we took out a component plant that I referenced in the prepared remarks. So always looking at our footprint. Obviously, volume is going to help. And -- but we're not waiting just solely for volume to come in order to drive the improvements in this operation.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. And in Decorative Arc, and specifically, within paints, you obviously mentioned that gallonage is up low teens, and that's terrific. Is it possible to discuss what the revenue growth was within paints in the quarter? Was it a bit better than the overall gallons because, perhaps, some of the new products have a higher price point or, perhaps, was there a negative mix effect that we should be aware? Is there any kind of color you can give us around that?
Timothy Wadhams: Yes. I don't think there was any significant mix impact, George, in terms of anything that would have been negative. We did talk a little bit about the DECKOVER product, which was launched along with some of the promotional costs to support that. But don't know that we had a negative mix.
George L. Staphos - BofA Merrill Lynch, Research Division: So revenue would have grown more than gallonage?
Timothy Wadhams: No, revenue was a little bit below gallon growth. And as you saw, we did have a negative price/commodity relationship in the segment in that quarter.
Operator: Your next question comes from the line of Nishu Sood with Deutsche Bank.
Nishu Sood - Deutsche Bank AG, Research Division: In the Cabinets and Installation Services division, you folks had targeted those, I think, mid last year and you've made some nice progress in terms of stabilizing and turning the profitability positive in those divisions. What are you targeting for each of those divisions for longer term margins? So what can we expect as the recovery goes on here?
John G. Sznewajs: Sure, Nishu. As we were -- both -- if you think about the incremental margins or contribution margins of those businesses, they vary a little bit by business. So at the Cabinet business, it really runs at 30% -- a little bit, maybe a little bit north of that as time rolls on. And then, our Installation segment would run at about a 25% incremental margins or so on a kind of a mid-cycle basis. So if you think about those businesses, and depending on what you believe is mid-cycle, definitely, we believe both those businesses can get back to double-digit operating profit margin area, probably a low double-digit margin for the Installation business. Maybe a little bit better than that, maybe low teens for the Cabinet business, depending on how much volume comes back and the form of the volume. Obviously, the more semi-custom offering that comes back, probably, the greater opportunity for enhanced margin.
Nishu Sood - Deutsche Bank AG, Research Division: Great. That's very helpful. And the second question I wanted to ask -- a couple of the earlier questions have already referenced this, but I just wanted to revisit it. The soft patch that we've seen in housing and in remodeling as well, some people -- some of your peers have noted some slowdown recently. You mentioned the high-single digits for October did not show -- because of the tough comp, it did not really show any impact from this soft patch or slowdown that some others have noted. So -- but that it may come in the next couple of months. So I just wanted to kind of get the overall takeaway here. Because of the lag between starts and when your revenues show up, is it something that may come up in the next couple of months or have you not seen the slowdown as some of your peers have?
Timothy Wadhams: Well, as we indicated, we haven't, at this point, seen any measurable impact. It's possible that there could be a little bit of impact late this quarter, early next quarter. But again, it gets a little murky, I think, Nishu. With the lag start issue, typically, we run about 90 days. That has been extended in certain cases, with some of the mix of multifamily, for example. Some of the labor constraints. So I think we'll just have to kind of wait and see how that plays through. But again, I would remind folks that we don't see that anything, other than as temporary, if in fact, it does hit us at some point. Our sense is that new home construction -- when you look at the fundamentals, household formation, demographics, et cetera, certainly, we expect that to be strong over the course of the next 2 to 3 years.
Operator: Your next question comes from the line of Dan Oppenheim with Crédit Suisse.
Michael Dahl - Crédit Suisse AG, Research Division: This is actually Mike Dahl on for Dan. I wanted to ask about thoughts on the balance sheet here. I think you've made some progress and as you noted, there's no real maturities, I guess, until mid-2015 at this point. How are you thinking about free cash flow use, maybe, as it relates to dividend, acquisitions or further debt reduction?
John G. Sznewajs: Sure, Mike. Let me walk you through that. So to your point, we've had great cash flow generation this year so far. Really pleased with the efforts on behalf of everyone on the team. So as we think about our capital allocation priorities, I think they're kind of in this order of priority, right? Obviously, first and foremost, always invest in the business. Whether it's through capital requirements to continue to grow our businesses or to fund innovation or international expansion, we've seen good evidence of the success of all those efforts here in this quarter. After that, I would tell you, in the near term, probably, we'll look to pay down some debt in the next several years. So as we mentioned or you referenced, we've got $500 million coming due in 2015, and $1 billion maturity in '16. And so I think what we'll look to do between that aggregate of $1.5 billion of maturity is, that we'll look to pay down somewhere between $300 million to $500 million of those 2 maturities. We'll just figure out exactly how we'll do that when we're closer to the maturity dates. Then following that, I would look -- I would guide you to think about small tuck-in acquisitions for us. So I do not imagine a sixth or seventh product line for us, but rather, something that we can fold into one of our existing operations. And we've got some great examples of how we've done that over the course of the last several years. One would be, we integrated a small spa business into our Watkins unit in 2011, and had tremendous success growing that business just by pushing that product offering through our distribution network. Similarly, I referenced in my prepared remarks the fact that we've had good success with our composite door acquisition in the U.K. Again, a similar theme there where we've been able to quickly expand that business by offering that product through our existing distribution channel. Then after that, after debt repayment and small acquisitions, then, we would look to do more shareholder-friendly activity, whether it's share repurchases or dividend increases. We'll figure that out as we're in a better position. But for now, those are capital allocation priorities.
Michael Dahl - Crédit Suisse AG, Research Division: That's very helpful. And then, just as a follow-on. Just given the relative size of the windows business and your desire to kind of expand beyond what, historically, had been the focus. Is that an area of appetite for tuck-in acquisitions as well?
John G. Sznewajs: That business had done a nice job of expanding geographically. They've entered the Texas market recently. They entered Western Canada in the last year, 18 months or so. And so to the extent that there's a complementary tuck-in acquisition that makes sense for the geographic footprint, yes, that would be something we may consider.
Operator: Your next question comes from the line of Nick Coppola with Thompson Research Group.
Nicholas A. Coppola - Thompson Research Group, LLC: There was an earlier question about growth rates between direct-to-builder, dealer and retailer. But if you were to drill down into just Cabinets, within the Cabinet segment -- I assume there was growth at all channels, but what did the relative growth rates look like?
John G. Sznewajs: Nick, the question is -- was responding to specifically the Cabinet business.
Nicholas A. Coppola - Thompson Research Group, LLC: Okay. So then, I guess, then, the alternate question would be, what did it look like across the entire company?
John G. Sznewajs: Because we've got varying growth rates depending on the segment, I can give you a little bit of guidance and you can see it in the overall segment results. Obviously, new home construction was strong, as evidenced by my commentary on both Cabinets and our Installation business, where our Installation contracting business for residential new construction was up high 20s percent, in line with housing starts lag 90 days. Across a number of our businesses that deal with the dealer networks, so we referenced Cabinetry already, but we experienced a very strong performance to our wholesale customers in Plumbing, as well as our window dealers in our windows segment. Not much -- we saw some increase in our Pro business and paint, but again, it's a relatively small business compared to our very large retail business in paint. Other than that, retail sales were strong, I mean, that's evidenced by the fact that we were up by 9% or so in our paint business, which is our strongest retail-facing business.
Nicholas A. Coppola - Thompson Research Group, LLC: All right. That makes sense. And then, talking about Decorative Architectural. Even adjusting for the $10 million of incremental ad spend that you both have been talking about, you're still not at the typical leverage, and it looks like the balance is that price/commodity piece. So what are you seeing in price of raw materials? I think there was a previous belief that the worst is behind us for titanium dioxide and propylene, but how should we be thinking about that going forward?
Timothy Wadhams: Yes, TiO2 has been relatively stable. But we have seen a little bit of a tick-up in resins, which affect both paint, as well as the window-related business.
Nicholas A. Coppola - Thompson Research Group, LLC: Okay. And any expectations for raw materials going forward?
Timothy Wadhams: In terms of looking forward -- no, TiO2 has been relatively stable for a while. Obviously, I think there's some signaling from the suppliers that as demand starts to pick up, that we could see a little bit of movement there. But at this point, that hasn't happened yet. But as demand picks up, I think the probability of that happening is pretty high.
Operator: Your next question comes from the line of Sam Darkatsh with Raymond James.
Sam Darkatsh - Raymond James & Associates, Inc., Research Division: A couple of just fine-tuning questions here. First up, Installation in the quarter, actually, is now tracking housing starts lagged by a quarter, which has not been the case for a number of reasons in the past. And I also noticed that Owens Corning had an 8% installation growth, and yours is considerably higher at nearly 20%. Should we expect now that your Installation business should be tracking starts lagged by a quarter or was there some sort of a one-off impetus to growth in this quarter, perhaps, that might not be -- should not be sustained?
John G. Sznewajs: Sam, as I take a look at -- and we've been trying to break this out every quarter for the last several quarters. Our Installation sales to residential new construction have pretty much, for the last several quarters, mirrored housing starts lagged 90 days now. I'd tell you, well, we are seeing a little bit differently in the marketplace. It seems like lag times for the big builders are getting back to a more normalized rate than they've been historically. Where we're still seeing expanded or lengthier lead times is with the regional or custom builders. Those seem to be running kind of in the 5-, 6-month lag time as opposed to the 90-day lag time.
Sam Darkatsh - Raymond James & Associates, Inc., Research Division: Okay. And then my last question, a follow-up regarding your Plumbing margin commentary, Tim, where you mentioned that 13% might be a good number to assume for the year. That suggests a fairly significant stepdown sequentially.
Timothy Wadhams: No, I didn't say for the year, Sam. I think the question was going forward over the longer term. I did not -- that was not a suggestion for the full year.
Sam Darkatsh - Raymond James & Associates, Inc., Research Division: Okay. So then, how -- if you're doing a 15% now, how sustainable is that near term?
Timothy Wadhams: We don't generally predict margins, Sam. But obviously, this year has been a good year in Plumbing. I think what we're really seeing is the benefit from some of the growth initiative spend that hit margins a little bit over the course of the last couple of years. So in terms of looking ahead, we continue to be pretty optimistic about the way returns will flow coming forward.
Sam Darkatsh - Raymond James & Associates, Inc., Research Division: Are there any seasonal aspects to the Plumbing margins at all, Q3 over Q4?
Timothy Wadhams: Well, there are seasonal issues that affect the top line. And usually, the Q4, Q1 timeframe for us, tends to be a little bit slower.
Sam Darkatsh - Raymond James & Associates, Inc., Research Division: And last question, if I could. Could you remind us what the year-over-year comparisons are in November and December versus what -- the difficult comparison that you saw in October?
John G. Sznewajs: Well -- Sam, I don't have the...
Timothy Wadhams: We were mid-single digits in both November and December last year, Sam.
Operator: Your last question comes from the line of Stephen Kim with Barclays.
Stephen S. Kim - Barclays Capital, Research Division: This is Steve Kim from Barclays. Most of my questions have been answered, but I guess my first question relates to just fine-tuning on the Cabinet side. We talked about the fact -- or you talked about the fact that there were about $2 million of headwind from the Chinese plywood issue. You talked about the fact that the builder market was a benefit to you this quarter, outstripping the growth because it was so strong in the dealer. I guess I'm curious as to what we can look forward to in the fourth quarter because the pricing action that you referenced, it sounds like it's not coming in until the sort of the end of the fourth quarter. The plywood tariff sounds like it really hit in the end of the third quarter. So we got a little bit of a gap here, where we could float [ph] them. I'm curious as to how we should be thinking about the cost dynamics in Cabinets relative to what we saw -- that $2 million we saw in the third quarter, what we can -- you think we can -- might be able to see or we should be thinking about in the fourth quarter?
John G. Sznewajs: Yes, Stephen, I think your commentary is pretty good, that there will be little bit of a lag in the fourth quarter as a result of pricing not going until late in the quarter.
Stephen S. Kim - Barclays Capital, Research Division: So then sort of following up on that, I guess, I just want to make sure we are sort of modeling things correctly. I mean, I totally hear you about both the hiccup in builder starts being a temporary phenomenon. I agree with that. I definitely understand the longer-term focus of the business and the trajectory being solid -- solidly upward. At the same time, I just want to make sure that if there's any hiccups along the way like in fourth quarter, that we are properly thinking about them. So you had an extremely strong incremental margin in the third quarter here in Cabinets. Would it be your expectation that the incremental margin would likely sort of come back down to a sort of more sustainable, more normal type level in 4Q in Cabinets? And then, just, if I could touch on -- tack onto that, are there any other unusual items that we should be thinking about in fourth quarter like any timing of promotional issues that you know about or tax issues or shipping days? I'm just trying to think -- making sure that there's nothing sort of on the sidelines that we're not thinking about that we should be.
John G. Sznewajs: Yes, Stephen, in terms of -- I think you had a number of questions embedded in there. But I -- trying to get I think the general theme of your commentary. Incremental margins in the third quarter were very strong. Though, we experience very strong incremental margins in this segment all year long. So I feel pretty good about the incremental margins that the team is delivering in Cabinetry. Secondly, you kind of had a series of comments or questions with respect to the fourth quarter, on how things look. I think the big question mark we have there is the remodeling. If -- to the extent that remodeling continues the trends that we've seen, that is favorable to our incremental margins and our margin profile going forward. So to the extent we continue to show strength in remodeling, could that help offset some of the negative impact of the Chinese tariff in the fourth quarter? Yes, that could be the case.
Timothy Wadhams: I think -- I would think about that, Steve, is that whatever you think third quarter looks like, if you use an approximate 30% incremental margin across the company, that probably is going to get you pretty close to whatever drop we'll have for our profitability. And Tiffany, we're winding up here, but I want to thank everybody for their participation today. And have a good rest of the day. Thank you.
Operator: This concludes today's conference call. You may now disconnect.